Operator: Good day. Welcome to the United Parks & Resorts Inc. Fourth Quarter and Fiscal Year 2024 Earnings Conference Call. All participants will be in listen-only mode. Please note this event is being recorded. I would now like to turn the conference over to Matthew Stroud of Investor Relations. Please go ahead.
Matthew Stroud: Thank you, and good morning, everyone. Welcome to United Parks & Resorts Inc. fourth quarter and fiscal year 2024 earnings conference call. Today's call is being webcast and recorded. A press release was issued this morning and is available on our Investor Relations website at www.unitedparksinvestors.com. Briefly, information for this call can be found in the press release and will be available on our website following the call. Joining me this morning are Marc Swanson, Chief Executive Officer, and Jim Nicolaiczuk, Chief Financial Officer and Treasurer. This morning, we will review our fourth quarter and fiscal year 2024 financial results and then we will open the call to your questions. Before we begin, I would like to remind everyone that our comments today will contain forward-looking statements within the meaning of the federal securities laws. These statements are subject to a number of risks and uncertainties that could cause actual results to be materially different from those forward-looking statements, including those identified in the Risk Factors section of our annual report on Form 10-Ks, quarterly reports on Form 10-Q filed with the Securities and Exchange Commission. These risk factors may be updated from time to time and will be included in our filings with the SEC and are available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call, we may reference non-GAAP financial measures and other financial metrics such as adjusted EBITDA and free cash flow. More information regarding our forward-looking statements and reconciliations of non-GAAP measures to the most comparable GAAP measure is included in our earnings release available on our website and can also be found in our filings with the SEC. Now I would like to turn the call over to our Chief Executive Officer, Marc Swanson. Marc?
Marc Swanson: Thank you, Matthew. Good morning, everyone, and thank you for joining us. I'd like to start today by taking the opportunity to welcome Jim Nicolaiczuk, our new CFO, to the team at United Parks & Resorts Inc. Jim has been on board with us for a few months now. We are pleased to have him here with his strong financial background and experience in the hospitality and leisure industry. I'd also like to thank Jim Forrester for his past service as interim CFO and Treasurer. I'm glad both Jims are here as the team works to continue to manage this unique company and take advantage of the clear and meaningful opportunities we have to grow the business and realize substantial value for all stakeholders. Before we turn, I want to point out that we uploaded a presentation to our investor relations site that includes some supplemental information that covers topics we have heard from our investors that they would like covered, as well as some other important points that we want to get across. I will refer to these slides later in my remarks.
Marc Swanson: With that, let me get into our results. We are pleased to report another quarter and fiscal year of strong financial results. In the fourth quarter, we delivered near-record attendance, record in-park per capita, and near-record total revenue per capita despite particularly poor weather impacting the quarter. For the full year, we delivered near-record revenue, record in-park per capita, and record total revenue per capita despite unfavorable weather during the year. We have now grown in-park per capita for eighteen of the last nineteen quarters and total revenue per capita for seven straight years. Our revenue strategies are working and continue to demonstrate our pricing power and the strength of consumer spending in our parks. We have had a pretty bad run of unusually poor weather over the last couple of years. Fourth quarter and fiscal year results were impacted by meaningfully worse weather, including hurricanes Debbie in August, Helene in September, and Milton in October. We estimate that the combined impact of the meaningfully worse weather was approximately 167,000 guests in the fourth quarter and 432,000 guests for the fiscal year. Adjusting for these impacts, we estimate that fourth quarter attendance would have increased approximately 2% compared to the prior year quarter and full year 2024 attendance would have increased approximately 2% compared to 2023. We repurchased 9.4 million shares or approximately 15% of our total shares outstanding last year, underscoring our history of returning excess cash to our shareholders, our strong belief in the highly compelling value of our shares, and our strong cash flow generation. We are excited about the clear opportunity we have to drive meaningfully more attendance, grow total per capita spending, manage and reduce costs, and realize significant additional value from our strategic growth initiatives. We have high confidence in our ability to continue to deliver operational and financial improvements that we expect will lead to meaningful increases in shareholder value. We are excited about our plans for 2025, including the meaningful investments we have made across our parks and business, and an incredible lineup of new one-of-a-kind rides and attractions, popular events, and improved in-park venues. We are pleased with our overall 2025 booking trends and are particularly happy to see international sales growth up mid-single digits and our 2025 group bookings growth up double digits. Assuming no worse weather than we experienced in 2024, we expect meaningful growth and new records in revenue and adjusted EBITDA in 2025. I want to thank our ambassadors for all their hard work and dedication as we start 2025. In 2024, we received numerous industry accolades, including SeaWorld Orlando being voted as the number three nation's best amusement park by USA TODAY readers, Aquatica Orlando voted as the number two for the nation's best outdoor water park by USA TODAY readers, Discovery Cove was awarded the 2024 Best Family Travel Award by Good Housekeeping, and Busch Gardens Williamsburg was named the world's most beautiful theme park for the thirty-fourth consecutive year by the National Amusement Park Historical Association. For 2025, we have an outstanding lineup of new rides and attractions, popular events, and new and improved in-park venues and offerings across our parks.
Marc Swanson: And attractions include the following: At SeaWorld Orlando, a family-friendly immersive flying experience taking guests on a journey to the top of the world to soar through the skies over the Arctic and dive into the icy depths. In San Diego, we have Jewels of the Sea, a captivating aquarium featuring multiple galleries, including one of the largest jelly cylinders in the country, as well as a multimedia experience. Also, Journey to Atlantis, SeaWorld San Diego's first coaster, will be reinvented, paying tribute to the original beloved version while adding new elements to create a more exciting and immersive experience. We have Rest, an all-new kid-friendly realm featuring animal rescue-themed rides and a water play area. In Busch Gardens Williamsburg, we have The Big Bad Wolf, The Wolf's Revenge. The longest family inverted coaster in North America will take riders through over 2,500 feet of track at speeds of up to 40 miles per hour. We have Wild Oasis at Busch Gardens Tampa Bay, an all-new realm featuring the sights and sounds of the rainforest, a newly reimagined drop tower featuring digital sound effects, an interactive water play wonderland, a multilevel climbing canopy, and an all-new multi-species animal habitat for up-close encounters. At Sesame Place in Langhorne, Pennsylvania, we will be celebrating the forty-fifth birthday celebration. This birthday celebration will kick off in the spring of 2025, featuring Furry Birthday Fun all spring and summer long. Fan-favorite entertainment across the park will be transformed with birthday-themed visits, including the return of the spectacular fan-favorite Sesame Street Birthday Parade. And finally, at Water Country USA, we have High Tide, an all-new multilevel water play structure designed for families to explore together. This exciting area features over 100 interactive water elements, including cannons, sprayers, and tipping fountains, ensuring endless fun for kids of all ages. With vibrant and dynamic water activities, High Tide Harbor promises to be the ultimate family-friendly destination for staying cool. During the fourth quarter, we repurchased 0.8 million shares for an aggregate total of approximately $37.7 million. In 2024, we repurchased 9.4 million shares of common stock or approximately 15% of total shares outstanding at a total cost of approximately $482.9 million. The Board and Company strongly believe shares continue to be materially undervalued. We have confidence in our business, our growth prospects, and the value of our assets. Any reasonable way you look at it, we feel we are materially undervalued and that there is significant upside opportunity in our current share price. Our balance sheet continues to be strong. On December 31, 2024, our net total leverage ratio is 2.94x, and we had approximately $798.4 million of total available liquidity, including approximately $115.9 million of cash on the balance sheet. Our balance sheet gives us flexibility to continue to invest in and grow our business and to opportunistically allocate capital with the goal to maximize long-term value for shareholders. Now turning our attention to the slides that we posted. As I mentioned earlier, we have created a presentation that addresses certain topics we have heard from our shareholders that they would like to be covered and some important points that we would like to get across. So going to slide five, on this slide, we have outlined our capital allocation strategy, which is consistent with what we shared last year. We have a thoughtful and clear capital allocation philosophy where we consider the highest and best use for our excess capital across four buckets: The first bucket, investing in the business. The second bucket, debt pay down. The third bucket, M&A. And the fourth bucket, return capital to shareholders. Investing in the business is focused on three areas: continuing our ongoing maintenance spend to ensure our parks are well maintained, continuing our cadence of new rides, attractions, shows, and events in our parks, creating new reasons to visit, and identifying and executing on high conviction high ROI initiatives. As you see on the next page, we expect to typically spend approximately $150 million to $175 million per year on core CapEx and up to $50 million per year on expansion and ROI CapEx. Looking at debt pay down, we are comfortable with current leverage levels and expect further deleveraging from future EBITDA growth. Given our low leverage levels and the current cost of debt, paying down debt is not a current priority. Regarding M&A, we will opportunistically pursue M&A when attractive opportunities present themselves. But at present, no M&A opportunities are currently contemplated. The company has and will continue to aggressively return capital to shareholders when it makes sense to do so in the form that makes the most sense. We have repurchased over $1.5 billion in shares since January of 2019, which is about 32 million shares, about 38% of the shares outstanding. For the avoidance of doubt, the Board, the largest shareholder, and management believe our shares are materially undervalued and that buybacks remain attractive. The Board is working through to allow for a potential new buyback authorization. Finally, as you know, the Board is highly aligned with shareholder interest. Turning to the next slide, slide number six, disciplined capital spend strategy. We have a clear and disciplined capital spend philosophy that is also consistent with what we presented last year. As a reminder, we think about capital spending in two buckets: The first bucket being core CapEx, the second bucket being expansion and ROI CapEx. We estimate that our core CapEx will typically run between $150 million and $175 million on an annual basis. This is spend that we estimate supports growth in revenue and EBITDA in line with long-term base expected growth rates. This amount includes maintenance CapEx, new rides, and attractions CapEx. We estimate that our expansion and ROI CapEx will run between approximately $0 and $50 million. This is the spend that supports growth in excess of normalized levels and includes high conviction projects with 20% plus ROI unlevered cash on cash returns, including revenue-generating and cost savings projects, park expansions, new properties, etc. So total, we expect normalized CapEx of approximately $150 million to $225 million on an annual basis. Turning to slide seven, capital spend update. This slide provides some more color on our 2024 capital spend. In recent years, our Board challenged us to pursue more than our normal cadence of ROI projects in 2023. As such, we spent significantly more on ROI CapEx in 2023 than we would normally spend and took on more projects than we would typically take on. Some of these projects were completed on schedule and delivered the expected ROI. Others were delayed due to some combination of weather and us taking on more projects than we probably should have. As discussed on previous calls, this led to certain operational disruptions in certain periods in some of our parks and was a headwind to performance in certain parks at certain times. The good news is we learned from our experience in 2023 and we adjusted our approach in 2024. There were some remaining planned projects that we finished up in 2024 that took our 2024 ROI CapEx roughly $20 million above the high end of our normalized ROI spend target. In 2025, we currently expect to spend approximately $225 million of CapEx split between $175 million of core CapEx and $50 million of expansion and ROI CapEx. We feel very good about these ROI projects and have high conviction on their impact in 2025 and beyond. Turning to slide eight, our 2025 attraction lineup. On this page, we highlight our new ride attraction lineup for 2025 that we are particularly excited about. It's among one of the best lineups we have ever had. On Slide nine, capital spend significant free cash flow generation. We lay out the significant discretionary free cash flow generation of our business. The slide speaks for itself and shows the high free cash flow conversion of our business and over $400 million of normalized levered free cash flow expected to generate on an annual basis. Turning to slide ten, strategic initiatives update. Let me speak to some of our current strategic initiatives. First, on hotels, we continue to be excited about the opportunity we have and have ongoing discussions with potential partners. We're taking our time to make sure we optimize the outcome here and no longer expect to have our first hotel opened in 2026. We will keep you updated on the status of discussions and timing in the coming quarters. The second point is on real estate monetization. As you know, we own over 2,000 acres of valuable land, including approximately 400 acres of unused land. There are discussions with potential partners on ways to unlock and/or monetize this land so as to realize appropriate value for shareholders. We will update you on our progress over the coming quarters. The third point is around sponsorships. We have been working over the past several months on various sponsorship opportunities that leverage our valuable assets and customer database. We expect this opportunity could eventually exceed $20 million in high-margin revenue, of which we expect to realize mid to high single digits in 2025. The fourth point is on international. We continue to be in discussions with partners on this front in various geographies and look forward to sharing more with you in the near future. The fifth point is around IP partnerships. We are in discussions with various partners to bring globally recognized IP to our parks via new rides, attractions, and/or exciting activations. And finally, the sixth initiative is around a variety of other areas, including our mobile app, CRM, park enhancements, and technology investments, all of which we expect will help drive growth in the near term and over the coming years. Turning to the next slide, titled EPIC, this next slide covers a recent favorite topic of discussion, the coming opening of Universal's Epic Universe Park in May of this year. First off, we're excited about the opportunity related to the opening of Epic Universe and welcoming our new neighbor. Second, we expect the park to be a great park and a great addition to the Orlando market. Third, we expect the opening of the park to lead to strong visitation to the Orlando market. Fourth, as we have indicated in the past, we welcome investment in the Orlando market, which we believe benefits the entire market. It is because of this type of investment that Orlando is the most visited city in the United States, attracting approximately 75 million visitors annually, up from approximately 40 million visitors 25 years ago. And fifth, like others, we have been and are confident in our ability to get our fair share of visitors in the market. Lastly, we're really excited about our new revolutionary immersive Arctic flying experience attraction we will be opening this year in Orlando and our other planned new and exciting elements we will be introducing to our Orlando Park and announcing soon. Turning to Slide twelve. The next page shows we have grown our EBITDA over the last fifty-plus years as more capital was invested in the Orlando market and more and more parks were built and opened. Again, we welcome investment and we expect more investment in the coming decade and more visitation to the market. Turning to slide thirteen, this is around the meaningful opportunity to grow attendance by returning to historical levels. We have shown this slide before. If we return total attendance to 2019 levels, that would be approximately 5% growth in attendance compared to 2024. If we return attendance to 2008 levels, our historical high, that would represent approximately 18% growth in attendance compared to 2024. If we achieve attendance levels where each park returns to hit its historical high level of attendance, it would represent a 25% increase in attendance compared to 2024. The point here is we have clear and ample opportunity to grow attendance just by returning to levels we have previously achieved, ignoring population growth, sector share gains, etc. Slide fourteen, drivers of future attendance growth. On this slide, we lay out a roadmap of how we think about attendance growth beyond returning to historical levels. Several ways we plan to grow attendance. First, one would be benefiting from population growth, with our addressable markets growing in excess of the U.S. national average. Second, one would be improving our marketing effectiveness, including growing awareness, increasing conversion, and optimizing our media spend. Third, creating new reasons for people to visit, such as new and expanded rides, attractions, events, and shows. Fourth, growing our season pass base and visitation per member. Fifth, realizing the benefits of our CRM build-out and optimizing the strategy around that. Sixth, increasing our focus on group sales across youth, corporate, and other buyouts. Seventh, renewed focus on international sales and the continued recovery in international visitation. Eighth, developing and growing our loyalty program. And finally, number nine, executing on our strategic initiatives. Overall, we have confidence in our near, mid, and long-term strategy with respect to these drivers. Slide fifteen talks about the drivers of per cap growth. On this slide, we show expected growth for admissions and in-park per caps. You can study these slides on your own as they are fairly self-explanatory. The takeaway is that we are confident and believe our current per caps are sustainable and have further upside. Think about growing our per caps in line with inflation and then beyond inflation through our inherent pricing power and the various initiatives we lay out on these pages. Importantly, on the admissions per cap slide, while we expect to grow admissions per cap at these rates over time, we are first and foremost targeting total revenue growth. As such, there may be times when we choose to focus on growing attendance versus growing admissions per caps. The next slide, slide sixteen, talks about cost efficiency and cost reductions. And it outlines our current cost efficiency and reduction initiatives. As you can see on this page, we have currently identified approximately $75 million of cost efficiency and reduction initiatives, which includes $40 million that we have identified in prior years and are working on in 2025, and $35 million in new initiatives we will work on in 2025. Of this $75 million, we expect $50 million of realized cost savings in 2025, with the remaining cost savings being achieved in 2026, along with other cost initiatives we develop over the course of this year. As you know, cost discipline and management has been and will continue to be a relentless focus of our management team, and we have a track record of delivering on these activities. Slide seventeen is the United Parks & Resorts Inc. illustrative adjusted EBITDA. This is a slide we've previously discussed in past years. As a reminder, this illustration is not meant to be guidance. It is just meant as a simple illustration to show what we believe the earnings power of this business would be at 2019 attendance levels and if we return to 2008, the historical peak attendance levels while growing our total per capita revenue along with the cost-saving opportunities and strategic initiative opportunities we have noted. As you can see from the illustration, this business has the potential to do between $1 billion and $1.2 billion of adjusted EBITDA under those scenarios, excluding cost inflation. Again, just a reminder, this is not guidance but rather a simple illustration. As we have said before, our business model is fairly simple and not complicated. If we get a little attendance growth, a little per cap growth, and we remain disciplined and focused on cost management, the EBITDA potential of this business is substantially higher than what we achieved in 2024. The next slide is United Parks & Resorts Inc. valuation overview. It outlines the current public market valuation of our shares. As you can imagine, this page makes us quite frustrated. The public market is currently valuing our company at around seven times forward EBITDA and around eleven times forward unlevered free cash flow and at around a twelve percent levered free cash flow yield. We operate in an industry that historically was valued at over eleven times EBITDA, and we strongly believe we deserve to trade at a much higher multiple than seven times EBITDA. Also, we should note, these forward multiples are based off of Wall Street consensus assessments, which are below our internal plans and expectations. The next slide talks about trading at a significant discount despite outperformance. And on this slide, I think it points out something that continues to be frustrating, that our performance compared with leisure, hospitality, and entertainment company peers. As you can see, we have outperformed, in many cases significantly so, our peer groups and yet trade at the lowest multiple of any of our peers. Again, this continues to be incredibly frustrating to us. The next slide talks about the implied future stock price. We simply show here what our implied share price would be if we traded in line with our peer groups or at discounts to our peer groups. Any reasonable way you look at it, we feel we are materially undervalued and that there is significant upside opportunity in our current share price. So let's go to slide twenty-one, the key takeaways. And I'll close with those. The first one, we had strong 2024 performance despite unusually bad weather. The second one, we have a disciplined capital spend strategy with approximately $150 million to $225 million in normalized annual CapEx spend. Third, we have significant discretionary free cash flow generation. Fourth, we have meaningful upside opportunity from executing on strategic initiatives such as hotels, real estate, international licensing, IP partnerships, and sponsorships. Fifth, we are positioned to opportunistically benefit from increased visitation to the Orlando market. Sixth, we see a path to $1 billion in adjusted EBITDA with multiple levers to drive value and further upside. And seventh, we believe the company is extremely undervalued despite significant outperformance relative to peers. So with that, I'm gonna turn it over to Jim to discuss our financial results in more detail. Jim?
Jim Nicolaiczuk: Thank you, Marc, and good morning, everyone. As Marc said at the outset of his remarks, I also want to take this opportunity to thank Jim Forrester for the work he did in the interim CFO role for the company. But moreover, his personal assistance in transitioning me into this role has been both gracious and an invaluable resource. Before getting underway, I just want to say how pleased and proud I am to be part of the team at United Parks & Resorts Inc. If not obvious before Marc's comments and the slides prepared by the team, he certainly put an explanation on the opportunities and value we have in front of all of us. This is an incredible company with a remarkable group of ambassadors, complete with valuable and irreplaceable assets and a differentiated business model. The company has accomplished a significant amount historically, but I can tell you, having only been here for a few months, we have only scratched the surface in terms of realizing this company's full potential. I cannot be more excited to get after the meaningful growth opportunities that Marc alluded to earlier in the call and to deliver increased value for our shareholders and all stakeholders. With that, let me turn to our financial results. During the fourth quarter, we generated total revenue of $384.4 million, a decrease from the fourth quarter of 2023. The decrease in total revenue is primarily a result of a decrease in attendance, partially offset by an increase in total revenue per capita. Attendance for the fourth quarter of 2024 decreased by approximately 79,000 guests or 1.6% when compared to the prior year quarter. The decrease in attendance was primarily due to meaningfully worse weather, largely due to Hurricane Milton, compared to the prior year quarter. As Marc mentioned, the combined impact of the adverse weather was approximately 167,000 guests. Adjusting for these impacts, attendance would have increased approximately 2% compared to the prior year quarter. Total revenue per capita increased 0.4%, and admission per capita decreased 1.9%, and in-park per capita spending increased 3.5%. Admission per capita decreased primarily due to the impact of lower pricing on certain promotional admission products when compared to the prior year quarter. In-park per capita spending improved primarily due to pricing initiatives when compared to the fourth quarter of 2023. Operating expenses increased $2.6 million or 1.4% when compared to the fourth quarter of 2023. The increase in operating expenses is primarily due to increased non-cash adjustments when compared to the prior year quarter. Selling, general, and administrative expenses increased $4.8 million or 10.6% compared to the fourth quarter of 2023. The increase in selling, general, and administrative expenses is primarily due to increased marketing initiatives compared to the prior year quarter. We generated net income of $27.9 million for the fourth quarter compared to net income of $40.1 million in the fourth quarter of 2023. We generated adjusted EBITDA of $144.5 million, a decrease of $6 million when compared to the fourth quarter of 2023. Adjusted EBITDA declined due to a decrease in revenues and an increase in expenses used to calculate adjusted EBITDA relative to the prior year quarter. Looking at our results for the fiscal year 2024 compared to 2023, total revenue was $1.73 billion, a decrease of $1.3 million or 0.1%. Total attendance was 21.5 million guests, a decrease of approximately 59,000 guests or 0.3%. Net income for the year was $227.5 million, a decrease of $6.7 million, and adjusted EBITDA was $700.2 million, a decrease of $13.3 million or 1.9%.
Jim Nicolaiczuk: Now turning to our balance sheet. As Marc mentioned, we further strengthened our already strong balance sheet and liquidity position. As of December 31, 2024, we had approximately $798.4 million in total available liquidity, including $115.9 million of cash on the balance sheet. Our net total leverage ratio at the end of the quarter was 2.94 times. This gives us considerable flexibility to continue to invest and to opportunistically allocate capital with the goal to maximize long-term value. In December, we refinanced our term loan B, locking in a more favorable interest rate that will save the company approximately $8 million in annual interest expense going forward. Earlier this year, we also increased the size of our revolver by $310 million, providing us even more access to liquidity to take advantage of potential opportunities. Under our $500 million repurchase authorization from the board, during the fourth quarter, we repurchased 0.8 million shares for an aggregate total of approximately $37.7 million. For the fiscal year 2024, we repurchased 9.4 million shares of common stock or approximately 15% of total shares outstanding at a total cost of approximately $482.9 million. Our deferred revenue balance as of the end of December was $152.7 million, a decrease of approximately 1.9% when compared to December of 2023. As a reminder, our deferred revenue balance contains a number of products that include ticketing, vacation packages, annual and seasonal passes, and ancillary products. We also continue to see many pass holders who have been with us for at least a year who transitioned to month-to-month payments at the completion of their initial pass commitment. This month-to-month revenue does not show up in deferred revenue and demonstrates continued pass holder loyalty. Our year-over-year pass base was higher through the end of the fourth quarter of 2024. Our year-end 2024 pass base, including all pass products, was up 0.4% compared to year-end 2023. Last quarter, we launched our best pass benefits program ever for 2025, which has led to low single-digit increases in pass prices, which we expect will drive a strong pass base for the remainder of the year. We spent $26.2 million on CapEx in the fourth quarter of 2024, of which approximately $22.3 million was on core CapEx and approximately $3.9 million was on expansion or ROI projects. For 2024, we spent $248.4 million on CapEx, including $177.7 million on core CapEx and $70.7 million on high conviction growth and ROI projects. For 2025, we expect to spend approximately $225 million of CapEx, $175 million on core CapEx, and approximately $50 million on CapEx for growth and ROI projects. And we believe this represents a normalized spending basis with the expectation to spend $150 million to $175 million on core CapEx, rides, attractions, and maintenance, and up to $50 million on ROI growth CapEx with a clear and supportable return. With that, let me turn the call back over to Marc who will share some final thoughts.
Marc Swanson: Thanks, Jim. Before we open the call to your questions, I just have some closing comments. In the fourth quarter of 2024, we came to the aid of over 100 animals in need. Over our history, we have helped over 41,000 animals, including bottlenose dolphins, manatees, sea lions, seals, sea turtles, sharks, birds, and more. Again, I'm really proud of the team's hard work and their continued dedication. We're excited about our ongoing and upcoming events this quarter, including Mardi Gras at our SeaWorld and Busch Gardens Parks, Seven Seas Food Festival at SeaWorld Parks, and the Food and Wine Festival at Busch Gardens Tampa Bay. I want to thank our ambassadors for their efforts during our recent holiday season and their preparation for our current and upcoming events this spring. Needless to say, we continue to believe there are significant additional opportunities to improve our execution, take advantage of clear growth opportunities, and continue to drive meaningful long-term growth in both revenue and adjusted EBITDA. We continue to have high confidence in our long-term strategy and in our ability to deliver significantly improved operating and financial results that we expect will lead to meaningful increased value for stakeholders.
Marc Swanson: Now we can take your questions. At this time, we'll pause momentarily to assemble our roster. First question comes from Steve Wieczynski with Stifel. Please go ahead.
Steve Wieczynski: Hey, guys. Good morning. So Marc, if we could start with your commentary about how you guys are thinking 2025 is going to be a record year for EBITDA, you know, assuming weather is normal. And I guess if we went back to, you know, this time last year, I think we kind of heard the same commentary. And, obviously, you know, you guys didn't make that, and it seems like mostly due to weather. So, you know, I guess my question is even if we assume weather is normal for the year, you know, is it still possible to achieve record EBITDA given the, you know, the opening of Epic, which, you know, Marc, you talked about in your prepared remarks? And maybe how you guys are thinking about the impact from Epic or, you know, maybe help us think about how other new park openings impacted or, you know, really didn't impact your attendance in Orlando.
Marc Swanson: Yeah. Hey, Steve. I can help you with that question. I mean, I think with Epic, look, it's a great opportunity for us. The park is relatively close to where we're located. And I think what excites us is the opportunity that we have to pick off the number of people that we expect are gonna come visit that park in Orlando. So seeing that type of high-quality great asset investment into a market that we're a significant participant in, we view as a positive. So I think, you know, that bringing more people here is a good thing, right? We just then have to execute on our plans. And I talked about some of the things that we're doing. One would be obviously the new ride that we have here in Orlando. We're really excited about that, and there's gonna be more coming out about that soon. But it's a ride that you give it to your world. It has an animal component to it. And I think that's one of our things. We are a differentiated product than the Universal parks. We are, I think, a better value. We have a good value proposition. And those, among lots of other things, give us confidence that we can continue to participate in the market growth. We showed that slide in the deck there that we've been here since the early 1970s, and if you think about all the things that have opened over that time, we have continued to participate in the EBITDA growth of the market. So, you know, putting that all together, I do think we can continue to grow in 2025, as you noted, and certainly we're going to take advantage of the opportunities ahead of us.
Steve Wieczynski: Okay. Thanks for that, Marc. That's good color. And then second question, you know, Marc, you made an interesting comment, you know, on slide eighteen. You know, you say in that box there, you know, you guys think 2025 and 2026 Wall Street consensus is significantly below your internal plan and expectations. So I'm not sure this is even a question, but, you know, just want you to maybe, you know, opine a little more about, you know, what that means or maybe a better way to ask this is, you know, what do you think Wall Street is getting wrong or underestimating with, you know, estimates at this point?
Marc Swanson: Well, I think we showed on that slide, and I'm going to flip to it, but I think the consensus for next year was like not even $700 million. So, I mean, we, I couldn't, it is, I'm sorry, the consensus for next year is $701 million in adjusted EBITDA. I mean, that would just be totally unacceptable for us to achieve that, and we would have, I can tell you, our internal plans are obviously significantly higher than that. We have to execute on those plans. But I think it's all the things I went through that I think when you step back and add them all up, there's a lot of value in this business. There's a lot of things we are doing to try to drive that value. And I'm not sure it's always readily understood. So just pointing out, I mean, we would be incredibly disappointed if we did not outperform these consensus estimates. And I think I would encourage you to, and I know you do, Steve, I'm not saying you in particular, but just everyone to review the strategies, the strategic initiatives, our history of growing per caps eighteen out of the last nineteen quarters for in-park per cap, seven years in a row for total revenue per cap. I mean, there's things we're doing I think have established a pretty good track record. We just have to continue to execute on this.
Steve Wieczynski: Okay. Gotcha. Thanks, Marc. Appreciate it.
Operator: The next question comes from James Hardiman with Citigroup. Please go ahead.
Sean Rooney: Hey. Good morning. This is Sean Rooney on for James. What can you tell us about one Q trends so far? Any specific weather headwinds or anything like that to call out so far this year?
Marc Swanson: Yes. Hey, I think the first quarter, I mean, it's pretty well reported. I think January was abnormally cold in Florida, I think the coldest we had since 2010. I think we've seen some improvement in that obviously in February. But I would say overall, very, I can tell you, I mean, our attendance is up on a day-to-day basis through this past Sunday. So we're, you know, we see growth there. We'll continue to see what develops the rest of the quarter. January and February obviously are relatively small months in the quarter, and then you've got to factor in you have a negative Easter shift that's going to occur later on this quarter that'll hurt Q1 but benefit Q2. So once you get through the end of April, it all normalizes out. But if you're looking at Q1 in particular, that'll be a headwind. And then a positive in Q2 and Easter shift too.
Sean Rooney: Got it. And then just curious about if you've seen any evidence of or have any expectation for visitation deferral at your Florida parks ahead of Epic opening?
Marc Swanson: Yes. I mean, I think what I can say is people are going to come, we believe, to Orlando more so than when that park opens. I think right now I don't know that we see anything a clear deferral or anything. I think what I would remind you is we get a lot of our attendance from the state of Florida. We get a good portion of our attendance from people that are local or nearby to the Orlando area. So we're not fully or wholly dependent on a domestic traveler or an international traveler, which might be a little bit different than some of our competitors in the Orlando market. We get a good amount of attendance from Florida. So we'll see what develops, but we're, you know, we're excited for the opportunity obviously of having more people in the market.
Operator: The next question comes from Thomas Yeh with Morgan Stanley. Please go ahead.
Thomas Yeh: Thank you. And thanks for all the additional color from the slides. I thought the 75 million annual visitor number for Orlando is interesting. Marc, the response to the last question suggesting that that's in addition to the existing local market that you typically penetrate? And do you have any expectation of how much that market expansion occurs for you? And maybe just as it relates to your strategy, should we expect an emphasis on growing revenues through attendance versus per cap this year? Since there, you know, potentially, there'd be some more appetite, I'd imagine, to run more promotions on the edge to drive more visitors and capture some of the incremental market. And then as a follow-up, any updates on any anticipation for marketing support or labor to wage dynamics? To think about as we think about kind of modeling the expense growth for the next year.
Marc Swanson: Alright. Sure. Let me try to unpack a couple of those questions. So first on pricing, I think again, take a look at the slide we shared, but look, our goal every year is to grow pricing, right? But our main focus is driving total revenue. So as we said, we're gonna focus on driving total revenue. We might be promotional at times, but we do think over time, we can grow pricing. And so that's our goal, but there may be times that we focus more on total revenue, and then you've got a lot of mixed components that can impact your per caps as well. But the focus is on growing total revenue, and that's what we'll continue to focus on. As far as the market, I mean, again, we do get here in Orlando a lot of our visitation from, you know, people that are in Florida or close to Florida. Having said that, I mean, we get, you know, maybe 25% or so of our attendance at the big park somewhere in that SeaWorld Orlando, in that range is domestic tourism. A lot of those people we know drive here, some fly here. So there's an opportunity to still capture incremental people that come here. So it's not like we don't have any tourists visit our park. We do. I don't want to imply that we don't. And those are the folks that we have to, I think, do a good job of picking off. And again, compelling product, differentiated product, value proposition that we feel good about. The new rides, events, other things we're going to be doing in our parks in Orlando this year. You add all those things up, and that's what gives us confidence that if we execute like we think we can, we should get some share, like you said, of the increased visitation to the market. I think finally, you asked about wage and things like that. Wage pressures perhaps, I think is what you're asking about. Like, we have a simple way we look at it. We know there's gonna be cost pressures in certain things every year, right? Every year you're going to have some things that are growing more than others. And our goal with our cost savings initiatives and reductions is to try to offset those as much as we can. And if you look at, I think, 2024 versus 2023, if you look at the cost that we used to calculate adjusted EBITDA, we managed those to a very low growth rate. So I think we demonstrated that we can manage our cost and either use those savings to offset other areas that are growing more than we'd like or make reinvestments in other areas. So don't know if I want to comment on anything specifically, but that's our general view on that.
Thomas Yeh: Appreciate the color. Thank you.
Operator: The next question comes from Lizzie Dove with Goldman Sachs.
Lizzie Dove: Hi there. Thanks for taking the question. The illustrative EBITDA opportunity on the slides was interesting. I think you've called out the kind of returning to 2008 attendance or peak attendance, which is, you know, pretty significant growth from where we are now. I'm curious what has been the gating factor to getting there in recent years. Maybe international's part of it, but I do think that, you know, the international declines are actually up now versus 2019. And what the kind of key catalysts are to kind of at least get a little bit closer to that.
Marc Swanson: Yeah. Thanks, Lizzie. I can help you with that question. And you're right. An illustration like you said, so not meant to be guidance or anything like that. But what I think the point there is we once achieved the attendance numbers we showed, and kind of unpacking that, some of the headwind more recently here has been obviously the international. So while international is improved over 2023, it's still down to 2019. Probably in the range of, you know, for the full year, 30% or actually probably more than that, 35%, 36% down for the full year of '24 versus '19. So if you go back, we talked in the past that international back in 2019 was about 10% of our attendance. So that translates to over two million people. So if you're still down mid-thirties percent in that, that's a pretty meaningful decline still that could be a tailwind ahead of us, right? And we've seen, as I said in my prepared remarks, the bookings coming out of that internationally are up. And we saw in the fourth quarter of 2024 better performance in international than we had versus 2019 than we had seen in kind of more recent quarters. So I think we're headed in the right direction. We have more to go though, obviously. And then I think the other opportunity is really capturing more attendance in the summertime, and I think there's opportunities there with some of our events, our attractions, our shows, that's everything that should, you know, allow us to have the opportunity to do that. We've got to execute on that, obviously, and to your point, we need to demonstrate that. So summer is another opportunity we have to capture some attendance on a go-forward basis.
Lizzie Dove: Got it. That's helpful. Thank you. And then I guess just moving on to the kind of capital allocation and strategic optionality side of things, you know, you mentioned the possibility of another buyback authorization. Leverage has picked up, but there's also, you've said, the opportunity for, you know, some sort of real estate monetization. I guess looking over the next couple of years, it appears if you could help me put those pieces together, especially with, I think, cash taxes going up in '26. So how the kind of capital allocation priorities kind of stack, your comfortability with leverage, and maybe some more details around, you know, the potential for, like, real estate monetization.
Marc Swanson: Sure. So I think we laid out how we think about the four buckets of capital allocation. But specifically, I'll take your question on the monetization of real estate. So there's really two ways to look at real estate, right? So you've got the use of the land. So you could use it, you know, for park expansion, you could use it for hotels, you could put shopping or housing, all the things that you could consider using your excess land for. And so as we've laid out in our presentation, we've talked about hotels, we've talked about, you know, other new rides and attractions. So there are just things we can do to make that land more valuable and hopefully lead to better results for us. The other one would really be kind of the underlying value of the land. And so one of the points we've been making a little bit more recently here and specifically today because we don't believe it's maybe fully understood by people is we have quite a bit of excess land and undeveloped land. So again, you could use that land for various things as I already mentioned. We also have the value of that land, and our land is in markets that I think most people would find desirable to be in. So is there a way to monetize the underlying value of that land, like you said, with a sale-leaseback or something like that? And I think those are things that are interesting to consider. I think you're obviously well aware of our board makeup with the heavy influence from private equity, and they work closely, Hillpath does, and I can tell you the board gets quite a few inbounds on ways we could unlock the value of that land, and it's something that we're just sharing with you that we're open to considering those things. I don't have anything specifically to share, but don't know that people appreciate the value of our land, and that's really the point we're trying to get across.
Jim Nicolaiczuk: Just to remind you too that we did refinance at the end of the year, so that created some additional cash savings on interest. Despite some cash taxes that'll come into play starting more so next year and the following year, we still have a high-class problem and an incredible free cash flow with a lot of opportunities at hand that Marc has alluded to. So despite a little bit more headwind on the cash tax side, you know, out next year, we still have a lot of free cash flow and a lot of opportunity to put money to work here and return for shareholders.
Lizzie Dove: Got it. Thank you.
Operator: The next question comes from Ben Chaiken with Mizuho. Please go ahead.
Ben Chaiken: Hey, good morning. A lot of detailed commentary in the prepared remarks. Maybe just a follow-up on pricing. How do you think about growing admission per caps 2% to 5% annually per the deck? And I ask this in the context of results for '23 and '24, which are below that range. I guess was '24 simply mix? And if so, how much? Or is it more kind of a product-led '25 and beyond give you confidence? And then, one quick follow-up. Thanks.
Marc Swanson: Yeah. I mean, Ben, I'll just kind of go back to some of my prepared remarks. I mean, we have a focus on growing pricing. We know a little more aggressive over the last couple of years, and we got to find that right balance at times. Then you've got the mix factors that you noted. But I think what I can tell you is we test and optimize things, try to find that right balance of growing price and still growing attendance. There are going to be times that we, you know, we're going to maybe be at odds with per cap because we like the revenue or attendance play that comes with a certain price point. So but when we have opportunities, we will look to, you know, take advantage of those. We also do quite a bit of work around dynamic pricing. I think it's something that we continue to refine and, you know, learn from and optimize going forward. So there's multiple ways to look at it. I think the key takeaway is over the medium to long term or over time, however you want to think about it, we believe we can get pricing. A key, I guess, a key tenant of that is we continue to invest in our parks and continue to give people reasons to visit with new things. And I think most of us would agree that having new things come and see and experience, you know, generally, you're going to be okay paying more for that. So we'll continue to make those investments, which should support our pricing strategy as well. That includes not only the attractions but even the venues in our parks. We've upgraded restaurants and gift shops and other things, bars and whatnot in our parks that, again, give people reason to come and spend money in our parks.
Ben Chaiken: Got it. Very helpful. And then one quick modeling question. Can you remind us what the cost bucket saves were in '24? If I recall, I think it was around $50 million as well. And then related to that, the $50 million cost saves for '25, is that a function of any estimated top line, or is it unrelated to top line trends?
Jim Nicolaiczuk: Unrelated to top line trends, these are areas that we've had targeted for the past couple of years in different studies that we've been doing and working with the team really across the board from cost of sales, labor, operating expenses, administrative areas. So it's a continuation of a plan that we've been marching against. And, you know, so there's some gross cost saves that we have in there. We're doing it strategically and thoughtfully to match it off against our spending levels and trying to deploy some of that money back into marketing initiatives that Marc mentioned. So we could put the money back to work into growth. And if some of it drops to the bottom line, that's great also. But it's a continuation of the program that we've had.
Ben Chaiken: And am I right that '24 was also around $50 million or close to it?
Jim Nicolaiczuk: Yeah. Approximately.
Operator: The next question comes from Michael Swartz with Truist. Please go ahead.
Michael Swartz: Hey, everyone. Good morning. Maybe just a follow-up on Ben's question there about savings. I think the last time we talked, you had pointed to or alluded to something like $25, $30 million in cost savings that were anticipated to flow through in '25. Now it sounds like it's $50 million. Do you have any color on what some of those incremental cost savings that you've identified might be?
Jim Nicolaiczuk: Yeah. So I'll just make one comment on the flow-through aspect. We hope some flow through, but a lot of this is on a gross basis and offsetting some of the spending and other investments we're making. In terms of incremental, the place where we continue to have a lot of focus has been on the labor side. So I think we've been very thoughtful. We've gotten the same pressures other people have gotten across the market on some rate increases in all the markets that we operate in with minimum wages and some rate increases. But we've been very good about thinking through the supply-demand side of when there's peak times, we have been able to move labor quickly and swiftly, and we have been able to pull it back. So I think that labor item has continued to be favorable for us. And we've managed it extremely well. There's some things on the purchase side, some utilities that we've added about getting smarter and working with some of our utilities providers. So there are different pockets across the board in each of the areas that I mentioned at the outset. Nothing specific though that's driving an overarching.
Michael Swartz: Okay. That's helpful. And then just the second question, maybe a point of clarification. I think you had responded to an earlier question just around the first quarter trends. And I think, Marc, you said that on a day-to-day basis, attendance is up. I don't think there'd be any reason, at least that I would know of, for the calendar operating days to be different versus last year. So is that another way of saying that just attendance is about flat year-to-date through the last weekend?
Marc Swanson: Yeah. I was just quoting because we're kind of mid-month. So typically mid-month, we look on a day-to-day basis. So we are up. There's puts and takes each month, but through Sunday, like I said, on a day-to-day basis, we're up.
Michael Swartz: Okay. And any way to think about the Easter shift as we're modeling here? If I look back, I think a couple of years ago, a handful of years ago when we had this three-week shift in Easter between the first quarter and second quarter, it was something like 150,000, 175,000 visits that shifted out. Is that the right way to think about it? I'm just trying to get a general sense.
Marc Swanson: Yeah. I think you're in the right range there. And when we get on the phone with you guys next quarter, we'll have that number. But I think you're in the right range. It'll come out of Q1, so it'll be a negative to Q1 and then a benefit to Q2.
Michael Swartz: Okay. Great. Thanks.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Marc Swanson for any closing remarks.
Marc Swanson: All right. Well, thanks, everyone. Appreciate you allowing us to take a little extra time to get through the slides. But on behalf of Jim and I, and the rest of the management team here at United Parks & Resorts Inc., I want to thank you for joining us. As you heard today, we're confident in our long-term strategy, which we believe will drive improved operating and financial results and long-term value for stakeholders. Thank you again, and we look forward to speaking with you all next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.